Richard Stewart: Good morning, ladies and gentlemen. Welcome. I think it's a real pleasure to have you with us today as we present our operating and financial results for 2025. So thank you very much for joining us today. I think just in terms of the agenda that we've got, I will start off with a few high-level of salient points. Then we'll move into the Performance Excellence, which will be presented by a number of the team. We'll then move into growth and just touch briefly on the resources, the mineral resources and reserves that we've recently published. Charl will take us through the financial performance and Ken to touch on how we're interpreting these very volatile markets we're seeing and a little bit of the outlook in that regard before I wrap up with the way forward. I think there are several forward-looking statements in the document. So would urge you please to just take note of the safe harbor statement. Thank you. I think when we reflect on December 1, 2025, I think certainly during the latter half of the year, it was at a time of significant change at Sibanye, we, of course, have the leadership transition. And with that, we also undertook a refresh of our strategy. This was something that we presented to the market at the end of January. But for anybody who was not able to make that, if I could try and summarize our strategic refresh in one word, it would be simplification. Specifically, what we're really focusing on in the short term is around maximizing and driving our operating margins. We're doing that through a keen focus on operational excellence and simplifying the operating model that we have and then further simplification through our portfolio such that we're focusing on the highest return assets, of course, cash generative assets and ensuring an appropriate management focus in that regard. This is all coupled with a very disciplined capital allocation framework which we shared as being roughly 1/3 towards shareholder returns, 1/3 towards reducing our gross debt and 1/3 towards growth. And again, Charl will unpack that in a little bit more detail. And in terms of growth, we certainly see the best value at the moment for us in terms of returns as being internal in terms of the resource value that we have. We have a significant resource base, particularly in South Africa, our PGM operations and organic growth will be our immediate focus. But we did also share a value creation framework that we have put together that will help us assess any external growth opportunities moving forward. In addition to the strategic refresh, I think there were some quite key decisions that we needed to make towards the end of last year, especially amongst several of our operations. One of the big ones was the start-up of the Keliber lithium project in Finland. That is a greenfield project that we have built and given the volatility in the lithium market, we had to make a decision how best to proceed with that project. And I think very pleasingly, towards the end of last year, together with our partners, Finnish Minerals Group came to a way forward, which really considers a staged ramp-up of the Keliber project. And we'll share a bit more of those details with you in the presentation, but it really is an approach that mitigates some of the risk of the market while allowing us a lot of strategic optionality around the project. And we will unpack that for you in the coming slides. The second big decision we had to make was around Kloof. We did share with the market that early on in the year, due to increased risk of seismicity have what we deem to be an unacceptable safety risk, we ceased mining of quite a few of the deeper level areas at Kloof. And this had a material impact not only on the output from the Kloof operations but also the future of that operation. Towards the end of last year, we did make a decision that Kloof would continue to operate on a year-by-year basis, assessing the profitability each year as we proceed. So very dependent on sustained higher gold prices. And then there were several priority projects that we have been evaluating during the year, and we're making -- we'll be making financial investment decisions on -- during the course of this year. There was also some overhangs from previous or legacy issues. We had to address the Appian court case. We came to a settlement there in November, ultimately a settlement payment of $215 million. And then we also had the South African gold wage negotiations that had been continuing from about the middle of the year I think credit to the team, we successfully settled that also towards the end of the year. And again, credit to all stakeholders, I think a very good outcome considering the environment we're currently operating in. But I share this because I guess it was a rather busy, a transformational and actually quite a noisy second half of the year with lots of decisions being made in terms of how we will continue going forward. And that has also reflected in our finances, which are complex. And again, I do say, a lot of noise. But hopefully, certainly the way I feel, and hopefully, you can see that what this has done is simplified our operations going forward. It's already simplified where our focus needs to be and I think it's set up a solid operational base, which we have launched into 2026. And then I look forward to that simplification also starting to feature in the financial numbers but as you ultimately simplify the total portfolio. I think looking at our operational output, safety and I'll unpack safety in a bit more detail in the coming slide, but very pleased with the continuous improvements that we've seen in many of our indicators both lagging and leading indicators. We have seen some of our best numbers ever, which is pleasing in terms of the progress that we've made over the years, but our focus on eliminating fatals remains our absolute priority as a company. I think I have to give full credit to many of our operational teams. As I said, this was a busy period it was a very volatile period in the markets. And yet our operational teams delivered solidly across most of our business. All of our operations came in largely within guidance, recognizing we did have to revise guidance at the gold operations because of the Kloof decision I mentioned earlier. But coming within guidance or better than guidance across the board was very pleasing and full credit to our teams in that regard. We also made some great strides on our sustainability strategy across many aspects, including water, including the social investments in South Africa. But one that really is a bit of a standout is our positioning with regards to our renewable energy where I think we really are now positioned as a leader in renewable energy in South African mining. And certainly, that is not only going to have a material impact on our carbon footprint going forward and our ability to provide responsible metals but also significant commercial benefit. Just during the year-to-date on a small portion of the projects we've commissioned, we've already achieved close to ZAR 100 million worth of savings and avoided over 300,000 tonnes of carbon dioxide. And we see that going up to close to ZAR 1 billion worth of savings over the coming years. Like I mentioned, I think with much of the decisions and complexity we had in the business over the second half of the year, that does reflect in our numbers. But looking through those numbers, I guess, sort of really through to the core financials I think what we really see is stability, a real turnaround. And I think a solid base of which to build into 2026. We achieved the highest EBITDA that we have in 3 years at just under ZAR 38 billion or just over $2 billion and to see a headline earnings per share up by just under 300%. I think is very pleasing, particularly given that most of that just came during the second half of the year. Our balance sheet remains strong. Our total net debt to adjusted EBITDA has declined to below 0.6x, so very comfortably within covenant limits. But as we shared during our strategy renewed focus on gross debt to ensure stability through a cycle is where our focus will be going forward. But overall, with a good operational output, with the strong financial stability and underpinned. I think as a company and the Board, the Board is very comfortable to declare a dividend of ZAR 131 cents per share. That equates to roughly a 2% dividend yield. And again, I think, reflecting largely just the earnings over the second half of the year. And that dividend declaration is at the top end of our dividend policy. So very glad to be back into dividend-paying territory. I think as we look at performance excellence, we did share at the end of January during our strategic update that our strategy is based on 4 pillars. Simplification, I've mentioned already, simplification of our -- of how we operate, driving accountability, simplification of our portfolio, getting our focus on capital allocation in the right place. And the second pillar was performance excellence. Performance excellence is really -- covers a holistic improvement. And within there, we have safe production. We have the operational excellence, which I think will be well understood by many. Resource optimization, how best we can extract our resources, maximizing long-term economic value and of course, embedding sustainability in the way we operate. And for us, sustainability is really about people, the planet and prosperity for both. I will specifically touch today on safe production and then hand over to the 2 COOs, Richard and Charles to look at operational excellence and Melanie in sustainability. So I think touching on on-site production. As I mentioned earlier, it's been extremely pleasing to see the trend that we have seen since 2021, in particular, in our raised 2021 because that's the time when we started our fatal elimination strategy. Since then, we've seen over 40% reduction in serious injuries. And the reason we look at serious injuries that is very often associated with high energy incidents. So high energy incidents that could result in either fatal incidents or certainly life-changing incidents. I think we've also seen a very similar pleasing decline in terms of the high potential incidents that we measure. Some of those are associated with injury somewhat. But it certainly gives us a good data point to understand whether or not we are decreasing risk within our operations. And whether we look at our own history, whether we benchmark ourselves against peers who have similar underground neuro tabular labor-intensive operations generally, across the board, I think we've seen a significant reduction in risk in our operations and that is a trend we'd like to see continue. And we continue to benchmark ourselves against ICMM and peers, many of whom, of course, operate in very different environments. I think what's always tough talking about the safety trends is as pleasing as it is to look in the rearview mirror and I understand that we're doing the right things to reduce risk. As a management team, we also recognize that, that is unfortunately very cold comfort to family and friends of colleagues who we have lost on our operations. And tragedy, during 2025, we did experience 6 fatal incidents across our operations. And in this regard, I would really like to extend our heartfelt condolences on behalf of the management team and the Board to the family and the friends of [ Alberto ] Xavier, [ Onkazi ] Jozana, [ Fonso ] Matsolo, [ Brian ] Hanson, [ Asituey ] Ramaila and Klaas [Onkosana. ] Eliminating fatal incidents is absolutely our #1 priority as a Board, as a management team and as a company. Our focus moving forward into 2026 remains on how we can more effectively embed our fatal elimination strategy. The strategy fundamentally hangs on 3 pillars of critical controls, what we call critical management routines or effectively management practices, and then life-saving behaviors. So those are the 3 key pillars that will mitigate risk within our operations. The focus for 2026 is how we can enhance compliance in this regard but most importantly, enhancing it through a transformation of culture, which will also drive behavior. I think what we have seen historically within the mining industry is that compliance has driven through force, through instruction and we recognize the opportunity to change that culture and to drive compliance through a culture of accountability and a culture of care. And through that, we truly believe we will eliminate fatal incidents from our operations. Thank you very much. And with that, I will hand over to Richard Cox to take us through the South African operations. Over to you, Richard. Thank you.
Richard Cox: Thanks, Rich. Hello, everyone. As Chief Operating Officer of our South African operations, my focus is on delivering performance excellence through safe production, operational efficiency and holistic improvement, our strategy insures, we consistently improve delivery across our portfolio. So let's take a look into our 2025 results for the South African business. Turning to our SA PGM operations. we've maintained consistent delivery, meeting or exceeding guidance each year since 2017. More specifically, for 2025, total 4E PGM production reached 1.8 million ounces including attributable production from Mimosa at 117,000 ounces and third-party purchase of concentrate at 73,000 ounces and all aggregated aligning with our 1.75 billion to 1.85 million ounce guidance and stable year-on-year. Since the Lonmin acquisition in 2019, production has remained steady between 1.73 million and 1.83 million ounces annually, reflecting our operational resilience and ongoing progress towards the second quartile of the industry cost curve. Breaking it down, underground production increased 2% to over 1.6 million ounces supported by improvements at Rustenburg's mechanized Bathopele shaft and more stable output compared to 2024s disruptions at Siphumelele and Kroondal operations. In Marikana, output was affected by safety-related stoppages at the high-performing safety shaft, but this was partially offset by K4's ramp-up where production rose 41% to almost 100,000 ounces, contributing to Marikana's improved cost position. Surface production was lower by 29% at 108,000 ounces influenced by higher first quarter rainfall and the commencement to transition feed resources, such as Rustenburg's Waterval West TSF and Marikana's ETD1 to ETD2 tailings facilities. We are evaluating long-term service opportunities at Rustenburg to support the sustainability of the surface business. Purchase of concentrate volumes were reduced by 24%, in line with contractual terms. We remain focused on cost discipline Operating costs increased by just 7.3% in absolute terms. All-in sustaining costs rose 10% to just over ZAR 24,000 per 40 ounce and that was within our ZAR 23,500 to ZAR 24,500 an ounce targets hosted by byproduct credits of ZAR 11.1 billion. Now these credits were enhanced by stronger ruthenium and iridium contributions, helping offset the 261% increase in royalties to ZAR 765 million from higher prices and a 12% rise in sustaining capital to ZAR 2.9 billion for key mining equipment and precious metal refinery infrastructure. Project capital was lower by 16% at ZAR 675 million, which was below guidance due to completed Rustenburg initiatives and deferred Marikana expenditures. Total CapEx came in at ZAR 5.9 billion, under our ZAR 6.5 billion estimate. So this foundation we are creating enables us to capitalize on stronger PGM prices. The 2025 average 4E basket price increased 28% to over ZAR 31,000 per ounce, driving adjusted EBITDA up 125% to ZAR 16.7 billion. Early 2026 prices have risen 43% to over 44,000 per ounce as shown in the chart, following an even higher and brief January adjustment. With supported fundamentals, we anticipate potential for additional earnings and cash flow improvements in 2026. We continue investing through the cycle in low risk, low capital intensive projects with quick paybacks, all supporting stable, high-performing operations with optionality to extend our portfolio. Overall, our SA PGM operations are very well positioned to benefit long term and also from the current market upside. This slide illustrates our advancement on the PGM cost curve and based upon end December 2025 data and highlights our positioning relative to peers. Starting on the right, Marikana's total cost, including CapEx has been influenced by K4's project buildup phase. But as K4 approaches steady state, we're seeing a shift towards lower costs. This combined Rustenburg and Kroondal position has moved slightly higher due to the Kroondal transition to toll treatment which does introduce processing costs, however, enhances profitability through improved revenue and margins. While we are actually below the 50th percentile now, and our low capital intensity brownfields projects are poised to further strengthen competitiveness against peers spots 4E and 6E, which includes base metal basket prices are positioned well above our costs, underscoring our leverage in the prevailing market. And so our progression from the fourth to the second quarter reflects the value of our strategic investments in building long-term sustainable advantage in this business. Now to our gold operations. These mature assets are highly geared to gold prices and continue to generate strong cash flows in the current supportive price environment. Total production, including DRDGOLD was lower by 10% at 19.7 tonnes. Underground production reduced by 8%, primarily due to operational challenges at our Kloof operations, including seismicity and infrastructure constraints, while surface production was down 16% influenced by lower yields as we transitioned from higher grade to lower-grade tailings and low-grade third-party sources. A 39% increase in the gold price received helped mitigate this impact. The all-in sustaining cost increased 15% to ZAR 1.4 million per kilogram, with 14% lower gold sold. At our Kloof operations, persistent challenges, including a shaft incident at our [ Manana 7 ] shaft in May of '25 infrastructure age showing in ventilation pass and ore pass systems, logistics constraints and seismic risk in high-grade isolated blocks of ground or IBGs, resulted in production lower by 31% year-on-year at 3,374 kilograms. This prompted the rebasing of the plan and a life of mine adjustments to 1 year. Safety remains our #1 priority. We did relocate a number of Kloof teams from higher-risk IBGs to Driefontein operations. And subsequently, post a comprehensive review process, removed those areas of Kloof operations from a long-term plan to align with our risk tolerance. As said, the sustained rise in the rand gold price over the period boosted adjusted EBITDA of 115% to ZAR 12.5 billion, representing 33% of group EBITDA and surpassing 2020's record. Excluding DRDGOLD, EBITDA increased 111% to ZAR 6.1 billion on average price of ZAR 1.8 million per kilogram. For the whole gold business, we are pleased to have concluded a 3-year wage agreement with labor, and that provides a degree of cost certainty moving forward. There is a lot of work underway in reporting our strategic transitioning of the SA gold business, and this effort is to ensure long-term sustainability. Our investment in the DRDGOLD is a prime example, providing long-life, high-margin surface gold exposure that is cash generative. We are also focusing on our higher-margin shallow gold mining business with Burnstone's feasibility study underway and final investment decision being targeted for the first half of 2026. As you see in image, the Burnstone project exemplifies this strategic shift. We are also focusing on high-margin shallow gold mining, where we have added over 1 million ounces in reserves at Cooke surface, Burnstone, attributable DRD and Beatrix operations. Turning to the charts. The gearing and all-in sustaining cost margin chart illustrates how price rising prices are opening up expanding margins. The average gold price received planning steadily against controlled all-in sustaining costs. The adjusted free cash flow bar chart highlights the magnitude and rapid cash flow turnaround moving from negative in 2024 to positive and significant in 2025. Looking forward, our core operations will continue to drive performance excellence and we're excited about the prospects in our current portfolio. For 2026, the outlook is positive. Spot prices are up 9% year-to-date to over ZAR 2.5 million per kilogram and 20% above second half 2025 levels. all boding well for another successful year with potential earnings and cash flow growth. I'll now hand over to Charles.
Charles Carter: Thank you, Richard. The U.S. PGM operations have had a solid year with production of 284,000 3E ounces and an all-in sustaining cost of $1,203 an ounce beating our guidance, combined with a strongly improving safety performance into year-end. The significant downsizing in late 2024, while turning around the cash bleed at the time in the context of depressed prices also sow the seeds of improved mining productivities and cost efficiencies that we have built on through the year under review. Certainly, with improved PGM prices later in the year, we returned to profitability. And when you overlay Section 45x benefits, you have a competent outcome. During this period of getting our operating performance right, albeit at lower volumes, the team led by Kevin Robertson has also done a significant amount of work on setting up the Montana operations for long-term success. You have seen in the earlier global cost curve that we are now sitting in the middle of the pack and have been for 2 consecutive quarters. But our drive towards $1,000 an ounce is aimed at being a lowest quartile PGM producer on a sustainable basis through price cycles. In the Montana operations, we have a legacy of semi-mechanized mining with narrow headings and small stopes using a range of small equipment such as 2-yard LHDs and CMAC bolting, which ultimately constrains you with lower tonnes per cycle and a higher cost per ounce, notwithstanding the fact that our miners are incredibly good at what they do and bring significant skills and experience to the process. Through last year, we trialed mechanized bolting with success, and we are not right now rolling out a significant transformation program, which will see amongst many changes the stepwise introduction of mechanized equipment, a progressive increase in heading size in advance with associated workforce and supervisory upskilling and a shift from legacy captive stoping to task mining. The benefits of these changes really start bearing fruit in 2027 because we have a phased introduction of new equipment and changes to where practices running in parallel with our established approach. Where this takes us in the next 18 months is a fully mechanized and scaled operation with higher productivities and lower costs, improved safety and wellness benefits and a business that we believe will be resilient through price cycles. We are starting these change interventions at Stillwater East and then moving to East Boulder. And once we know that we can deliver around $1,000 an ounce, we will consider bringing back toward a west, although this will require infrastructure upgrades and a range of capital spend, which means that we have that decision point further down the road and it will neatly based on an extensive feasibility study. If I turn to the U.S.-based recycling business, 2025 has also been a busy year for us. We bedded down and integrated the Reldan acquisition and late year added the Metallix acquisition. Together with our Columbus AutoCAD recycling business, we believe that we have a compelling PGM and precious metals recycling platform that has low capital intensity and which can provide stable margins through price cycles. The team led by Grant Stuart is moving very quickly to integrate the management teams and optimize which feeds go to which site while leveraging a single sourcing and sales platform that now has very wide reach both in the Americas, but also into Asia and elsewhere. As investors and analysts will appreciate there is significant change underway in global metals recycling where we are seeing consolidation, vertical integration and indeed, some companies in various parts of the value chain going to the wall. Within the significant shifts underway, I think we are well positioned. We know what our value proposition is, the niches that we play in and which differentiates us against some of our very large competitors. And we now have the ability to organically grow an integrated recycling platform without needing to necessarily chase new acquisitions. Our Century zinc retreatment business in Australia has also had a very good year from a stellar safety performance through to increased production of 101 kilotonnes of payable metal and a 17% decrease in all-in sustaining costs to $1,920 a tonne, which exceeded guidance. This team is very ably led by Barry Harris, and I want to thank Robert Van Niekerk who was the executive lead through the last couple of years for a seamless handover. As you will be aware, the team has been working on 2 feasibility studies, [ FOS 1 ] and Mount Lyell. The Mount Lyell feasibility study is currently under assurance review and evaluation. We expect to have a close-out review in early May. The [ FOS 1 ] study is expected to be completed end of March with Assurance targeted to be completed at the end of May. Final decisions will be made within our disciplined capital allocation framework that Richard has spoken to. Given the remaining short life at Century, a pathway to new opportunities in Australia is important. And I'm looking forward to spending time with the team on the ground next week and working through the opportunity set. With that, let me hand over to Robert.
Robert van Niekerk: Thank you, Charles, and hello, everybody. Sibanye Stillwater has a substantial life of mine and solid project base, focusing only on the precious metals. We've got 356 million ounces in the resource category, of which about 16% 58.2 million ounces has been converted into the mineral reserve category. SA PGM operations contributed about 50% of the resource base, 177 million ounces. And again, about 16% of that has been converted into reserves, 29.4 million ounces. If you look on the right-hand side of the slide, you can see that these reserves serve very, very significant operations. Some of the Rustenburg operations have in excess of 32 years life. The Marikana K4 project, for example, has a 45-year life of mine and the Marikana East 4 project has a 34-year life of mine. As Richard said earlier on our gold operations are mature. They are bid to the gold price, but I would likely -- they are very insignificant. We have a 43 million-ounce resource and a 9.4 million ounce reserve. The Beatrix operation in the free state is a solid operation. The Driefontein operation is a very solid operation. And our DRD operation is our world-class tailings retreatment operation. And we also have the Bernstein project, which is there still to become a very efficient, shallow, low-cost, 25-year life of mine operation. The second biggest category of our resource base is our U.S. operations. Here, we have 80.9 million ounces in resource, of which only 19.4 million ounces have been converted into reserves. Again, these assets are highly leveraged, they are high grade, they our quality assets. And again, if you look at the right-hand side of the slide, the Stillwater mine has a 26-year life of mine and the East Boulder mine has in excess of 30 years, actually 35 years life of mine. We'd also like to add that this year, we have included a maiden reserve for the Marikana East project in the SA PGM region. We have also included a maiden reserve for the Cooke TSF and I made a reserve for the Mount Lyell copper project in Tasmania, Australia. In closing, I'd like to leave everybody on the call with a message that next year, '26 and 2027, Sibanye Stillwater will be focusing on converting a large percentage of the abundant resources into reserves. With that, I'm going to hand over to Melanie. Thank you very much.
Melanie Naidoo-Vermaak: Thank you, Robert. Good morning, good afternoon and good evening to all attendees. Our renewable energy program remains central to our journey towards carbon neutrality. Having set ourselves a target to reduce our emissions by 40% come 2030. And now with the conclusion of the new agreements with Etana and NOA, our renewable pipeline has expanded to 765 megawatts, delivering nearly the same capacity as a single Kusile unit and thus strengthening our energy security and accelerating progress towards carbon neutrality. Naturally, this positions us as the largest contracted private renewable energy offtake in South African mining. And with this portfolio and come 2028, it will supply more than half of our South African energy needs -- it will generate over ZAR 1 billion in annual savings and avoid 2.6 million tonnes of CO2 each year, a 41% reduction from our 2024 levels. At the same time, our operations, high water demand and presence in water stream catchments make strong water stewardship critical. Through disciplined management practices, and our investment in advanced water treatment plants, we've significantly reduced portable water reliance and increased resilience and also contributed to margins. 4 of our operations are now fully independent of municipal portable water with our gold assets at 94% independence. Importantly, though, the water liberated through these efforts is equivalent to the needs of a midsized city and an essential social contribution in a water scarce country that's currently grappling with water challenges. Our commitment to communities remains equally strong. And through the Marikana renewal process, we prioritized addressing the needs of affected families and rebuilding trust. And a key focus was closing the housing gap for families, not supported by the AMCU Trust. I'm pleased to share that we delivered the final 2 of 17 houses, honoring our commitments to the widows. As a business, we remain committed to shared value with all stakeholders as we earn trust where we operate. Thank you, and handing over to you, Charles.
Charles Carter: Thanks, Melanie. At Keliber, we are looking forward to hosting a Market Day in a couple of months and then a deep dive on the operation. When you get there, you will see a really impressive build and the team on the ground led by Hannu Hautala has done an incredible job in completing the build program on schedule. and where changes to spend were related to revised permit requirements late in the process. This is Sibanye's first greenfields project build and it has been incredibly well executed. The financial investment decision for the refinery was made in November 2022. In October 2023, the scope change for the effluent treatment plant was approved along with authorization to begin construction of the concentrator. Mechanical completion has been achieved for all components of both the concentrator and refinery with the exception of the rotary kiln at the refinery. As you may be aware, mining activities were delayed due to postponing contract signing until the completion of the deep dive analysis in the second half of last year. Commissioning of the concentrator crusher, conveyance system, sorting plant and laboratory is scheduled to be completed ahead of plan. The phased approach is a direct outcome of the deep dive work conducted by the corporate technical team. The guidance is that we will produce at least 15,000 kilotonnes to 20,000 kilotonnes of spodumene this year either for direct sale or as a feed into the refinery, if approved late year and subject to market conditions. Let me unpack the stage approach in a little more detail. Stage 1, EUR 783 million is the initial capital and excludes any other preproduction SIB costs. 237 kilotonnes of stockpile is required by year-end and counter the limitation put in the Syvajarvi mining permit being kept at 540 kilotonnes. Stage 2, spodumene grade of greater than 5.1% is targeted to ensure a sellable product, which will not incur penalties or rejection from commercial counterparties. Stage 3 refinery startup decision is conventional in the market assessment at the time. If it's a pause, we will continue with spodumene in sales. Stage 4 focus on technical grade will allow the team to sort up processing issues before quality issues. The team will continue to incorporate lessons learned from other facilities. Stage 5 decision to proceed with ramp-up to produce battery grade lithium. It must be noted that the qualification process for battery grade may take 6 to 9 months, which means battery grade could be commercially available, likely at the earliest in 2028. On the operational overview, it's important to note that the feasibility profiles had a number of satellite ore bodies in as well. As far back as 2023, we have kicked off mining optimization studies, which resulted in extended life only out of the Syvajarvi and Rapasaari pits. We intend to kick off further work on the other pits as well as this year work on the [indiscernible], which is a new pit, which will lie close to Rapasaari. When you're on site, you'll see that we have a strong land position with further exploration options ahead of us at the right time. And given all the exploration juniors that have paid claims outside of our lease boundary, I have no doubt that the lithium story has legs in Northern Western Finland for a very long time to come. The spiking SIB in 2008 in the graph on the lower left is mainly driven by the waste stripping for the Rapasaari pit. The cost overview will be updated as we get new insights from our cost optimization and debottling studies. And certainly, the team is focused on improving this picture. Here, the further optimization work is focused primarily on the following work streams. Mining study work to optimize pick design pushbacks and stockpiling. We're targeting here a potential EUR 10 million to EUR 15 million savings and the mine to deliver a stockpile of 50 kilotonnes oil by 30th June, about 1 month of inventory. As I noted, 237-kilotonnes to be on stockpile to ensure stable production in 2027. The concentrator study is targeted in spodumene grade about 5.1% to optimize spodumene concentrate sales and boost refinery capacity. Metallurgical work on grade versus recovery is in progress. First grade recovery curves issued for mining production planning were also taking place. Cost reduction and efficiency optimization targeting the potential unit cost decrease of $1,000 per tonne of lithium hydroxide has a number of components. We're reviewing the procurement for more cost savings, developing a full digital twin of the value chain to further optimize, we're studying the personnel and staffing optimization opportunities, and we're reassessing the maintenance strategy and costs post ramped up. So there's a lot of further optimization work on the go, and I'm confident that we'll start to see gains from there in the next few months. Refinery debottlenecking study is targeting higher throughput potential and overall yield improvement also on the go. This is about increasing refining capacity by adding a magnetic separator and resolving process bottlenecks. We're looking to boost the yield 2% to 3% recovery in lithium from the effluent treatment stream, reducing ETP costs by reviewing current initiatives and working with other third parties to support refinery commissioning and ramp-up phases. With that, thank you, and let me hand over to Charl.
Charl Keyter: Thank you, Charles. Good morning to all participants. It gives me great pleasure to share the financial results for the year ended 2025. If we start with the key highlights. Headline earnings per share for 2025 increased 281% to ZAR 244 cents per share. During the same period, adjusted EBITDA increased almost threefold from ZAR 13 billion to just under ZAR 38 billion, 189% increase. As a reminder, we have set a target of reducing gross debt by 50% from the current ZAR 2.2 billion level over the next 2 to 3 years. But through the cycle, net gearing target of below 1x net debt to EBITDA remains consistent with our financial policy and has served us well during periods of constrained commodity prices. If we look at our net debt to adjusted EBITDA at the end of 2025, it is down 1.77x at the end of 2024 to 0.59x at the end of 2025. As a reminder, the dividend declared for 2025, as you would have heard, is ZAR 131 cents per share or 2% yield. Turning to the income statement. The revenue increased by 16% and costs were down 8% However, as highlighted on the previous slide, this translated to an increase of almost 200% in adjusted EBITDA. Noteworthy items for 2025 include the following: the loss on financial instruments of ZAR 3.8 billion was mainly due to the impact of the protective gold hedges that amounted to ZAR 1.7 billion as well as a revaluation of the Burnstone debt. With the sharp increase in the long-term price of gold, the Burnstone debt is now expected to be fully repaid, and that meant that we had to increase this liability by ZAR 1.7 billion. Another big item that impacted this period. Impairments for the year at the U.S. PGM operations Keliber and Kloof amounted to ZAR 15.8 billion. The impairment at Kloof was due to the reduction in the life of mine due to the removal of isolated blocks of ground for safety reasons. The impairment at the U.S. PGM operations and Keliber were the result of changes in economic parameters such as long-term prices. This was partially offset by the reversal of impairments at Beatrix, Driefontein and Burnstone due to the increase in the long-term price of gold. The transaction cost includes the $215 million or ZAR 3.6 billion settlement of the Appian claim. If we look at the net other costs, that benefited from credits in 2024 that were once off and did not repeat in 2025. It is important to note that taxes and royalties of ZAR 4.3 billion increased in proportion to our profitability. As already mentioned, a full year dividend of ZAR 3.7 billion or at the top end of the range, 35% of normalized earnings will be paid compared to the last dividend that we paid in 2023. This represents an increase of 146% on an absolute basis. In 2025, we had significant nonroutine cash impacts that affected our financial results. These included the Appian payment and the gold hedges that was put in place in December 2024 to ensure the ongoing sustainability of our gold operations. The question that a lot of people will ask is what would your financial results have looked like in the absence of these nonroutine items? The short answer is that the money available for the 3 areas of distribution would have increased by ZAR 5.2 billion to approximately ZAR 14.6 billion, and each bucket would have been allocated ZAR 4.9 billion. However, in 2025 on a look-back basis, we did allocate more to growth as one. The revised allocation model was not in place. And two, we were finalizing the Keliber project. Importantly for 2026, our growth capital plan, excluding DRD is ZAR 3.7 billion compared to the ZAR 9.4 billion that we spent in 2025. The growth capital excludes Burnstone and other projects in study phase. And as we generate all cash and earn the right to allocate more to each bucket, these will be considered. Our debt maturities remain manageable due to a well constructed maturity profile. Gross debt was ZAR 39 billion and less the cash on hand of ZAR 17 billion equated to net debt of ZAR 22 billion. Liquidity headroom is strong at ZAR 40 billion or roughly 5.5 months of OpEx plus CapEx. The next priority on our debt profile will be the upcoming renewal and downsizing of our 2026 $675 million bond, and the target date for completion is before the end of half 1, 2026, and this will be subject to supportive markets. Thank you, ladies and gentlemen. I will now pass the baton to Kleantha that will discuss market performance. Thank you, Kleantha.
Kleantha Pillay: Thanks, Charles, and good morning, everyone. Markets were characterized by tariff uncertainty and geopolitical tensions throughout 2025 and into 2026. And this has driven the precious metals rally. Gold spot prices brought the $4,500 mark during December, up 73% since the beginning of the year and driven again by geopolitics, wars and a weak U.S. dollar. Gold ETFs were up 25% year-on-year to 4,000 tonnes and Central Bank buying continued. The platinum price rally has been driven largely by tariff uncertainty and was exacerbated by primary supply disruptions during the first half of the year. 3E recycling volumes were up 9% year-on-year. However, this is still below the pre-COVID levels despite better prices attracting hoarded stock. The tariff uncertainty has resulted in significant platinum flows into both the U.S. and China. Over 600,000 ounces of platinum was imported into the U.S. in July compared with normal levels of around 200,000 ounces. Between July and October, 1 million ounces of above normal levels moved into the U.S. And overall, platinum imports were up over 50% year-on-year. NYMEX stocks quickly reached a peak of about 650,000 ounces in April and then dropped back to 280,000 ounces in July. This as reciprocal tariffs were delayed and then PGMs were on the list of goods not subject to tariffs. Stocks then jumped back to around 700,000 ounces in October. As the outcome of the Section 232 investigation was delayed due to the government shutdown. Since then, the outcome has been announced as negotiations not tariffs. So uncertainty still lingers. Imports of platinum into China also increased steadily during the first half of the year and then fell back in the second half as prices became too high. Investors and jewelry manufacturers switched into platinum as gold just became too expensive. Overall, platinum imports into China were up 7% year-on-year to 4.5 million ounces, supported by the launch of the platinum futures trading on the Guangzhou Futures Exchange in November. Large daily trading volumes north of 6 million ounces per day in December resulted in the GFEX having to implement restrictions on trading. Platinum demand and along with the palladium during 2025 was largely driven by investments and speculation rather than by fundamental industrial requirements. Over the near term, we continue to forecast deficits for both platinum and palladium while the rhodium market balance will remain first to balance. The recent rally in prices has set us a new higher base and the heightened focus on securing critical minerals will continue to drive regional supply chains and with it price differentiation. And now moving on to lithium. The appreciation in lithium prices due in quarter 4 was driven by China's anti-evolution drive and the camp down on primary supply in that country. As well as from better-than-anticipated demand from battery energy storage systems. China changed the feed-in tariff model for renewable energy mid-2025, unlocking demand for energy storage systems. Prices moved from a low $7,000 per tonne levels up to just over $16,000 per ton currently. Inventory levels remain low as [ Cattle's ] lepidolite mine has yet to start producing again, and winter supply from brine production is reduced. Looking out to 2029, battery energy storage system demand is expected to grow at a 23% CAGR while demand from battery electric vehicles will grow at a 9% CAGR. The market is expected to remain in surplus over the medium term and will start tightening from 2028 to 2029. New supply will need to be incentivized by higher prices. Looking forward to the rest of this year, we remain bullish on gold. We believe that PGM prices have reset at a higher base, but will continue to be volatile. And similarly, we believe that lithium prices will continue to be influenced by Chinese decision-making. We will, therefore, continue to focus on what is in our control, performance and delivery at our operations. I'll now hand back to Richard to conclude.
Richard Stewart: Thanks very much, Kleantha. And then I guess, just heading into the last section to wrap up with. So I think just starting off with our guidance for 2026 and the outlook. Starting off with our South African PGM operations, I think a very slight decline in terms of our production guidance in line with the overall life of mine profile that many of you will be familiar with, but no significant changes across the South African PGM operations. guidance of the South African gold operations is slightly lower than what we achieved this year or during 2025 and that is driven largely by the reduction of output at the Kloof operations, as Richard touched on earlier. I think in terms of the U.S. PGMs, we do see a slight increase in terms of output at the underground operations that is coupled with the ongoing work towards reducing the overall unit costs down towards $1,000 per ounce and associated with that, we do see an increase in some of the capital as we start making those investments. On the recycling, we have quoted our production guidance as a gold equivalent to ounces. So you'll see 400,000 to 420,000 ounces there. Please note that is gold equivalent, we produce a range of metals. But I think when looking at it on this basis, it does just demonstrate the significance of this business, almost 0.5 million equivalent gold ounces that we have built over the time of a, as we mentioned, low capital intensity, very low capital base. On Keliber, the guidance we are providing is we are anticipating producing spodumene concentrate as we ramp up the concentrate at this stage, whether or not that goes into refinery, of course, will be dependent on the decision that is made on the commissioning of the refinery. And in terms of total costs, we are guiding towards a total expenditure of about EUR 180 million to EUR 190 million. Just to unpack that briefly, approximately half of that, about EUR 90 million is the remaining project capital that was due to get spent predominantly in the first quarter and a little bit in quarter 2. So that is in line with the original project capital of EUR 780 million that we've shared with the market. And the balance is really the cost of the -- as we ramp up the overall operation. At Century zinc, this is likely to be the last full year of production on a Century zinc and again, largely in line with what was achieved during 2025. So just moving on to the strategy. I think as we outlined in my earlier slides, I think we've set a very solid base moving forward into 2026. The 4 key pillars that we have with regards to our strategy, being simplification, simplification of our operating model and our portfolio. Performance excellence, which I think you heard us touching on today and unpacking around safe production, operational excellence, optimizing our resources to maximize value and embedding sustainability in the way that we operate. Growth, which is initially focused on the value creation. We believe we can drive from our existing resources and therefore, unlocking organic value. And finally, a disciplined capital allocation model by bringing these 4 pillars together with the base that we've set in 2025, we are certainly confident that we can unlock significant value as we move forward into 2026, irrespective of the environment that we find ourselves operating in. I think just wrapping up with the overall strategy that we shared with the market at the end of January towards creating a future-focused metals business. In the short term, our strategy is very much focused on strengthening our business fundamentals. And this will be achieved through increasing our operating margins through our operational excellence simplifying our operating model and ultimately, simplifying our portfolio towards highest return assets and cash-generative assets. I think we're successful in this regard. We would be generating free cash through a disciplined capital allocation framework that looks at returning capital to shareholders, reducing our total gross debt and investing in the growth and sustainability of the business, particularly unlocking our inherent resource value. We certainly see that as ultimately continuing to build our business, building our production profile and continuing to build on our resource stewardship model across primary mining, secondary mining and recycling. So ladies and gentlemen, I think in conclusion, once again, thank you for joining us today. To try and sum up in 3 quick points. I think where we are sitting today as a business. I think we've had a solid operational output in 2025. And I think we're well positioned moving into 2026 to unlock the significant value that we have within our portfolio. I think we have seen a noisy set of financials. But looking through that, there is some real financial stability in the company. We've reduced our gearing significantly and certainly, at the current commodity prices that we are experiencing and the operational output that we are achieving, we look forward to some significant cash flow as we move forward. And then I think we finally have a resilience and a disciplined strategy. This is a strategy that is independent of the external environment and positions us for long-term themes which we see underpinning growth within the commodities market. So just in terms of way forward, as we did share with you at the end of January, we launched our strategy on the 29th of January. Today, we have shared our results. But as we move forward at the end of April, we will be looking to have a 2-day Capital Markets Day focused specifically on our international operations. That will be a webcast as well as an in-person visit in Finland to our Keliber operations, but we'll also cover both U.S. and recycling and Australian operations. And then towards the end of June, another 2-day Capital Markets Day in South Africa, specifically focused on our goals in PGM operations. So we look forward to engaging with you and getting those invitations out and thank you once again for joining us today. And of course, we're happy to take any questions you may have. Thank you very much, and over to you, James.
James Wellsted: Thanks, Richard. Thanks, gentlemen. I've got a couple of questions here. I think we'll start with the Kloof questions. I'd say Keliber questions, sorry, missing my Ks up here. At Keliber, you note that initial value realization depends on producing and selling spodumene concentrate. It's a specified grade during the concentrator start-up. How do you assess the risk of achieving specification grade the early stages of ramp up? Can you give us some comfort around achieving these initial targets that's from Arnold Van Graan.
Richard Stewart: I'll ask Ralph to come in and join me on some of the details. But just on a high level, let me make just unpack the sort of what we've spoken about the stage ramp-up and life mitigate risk. I think a lot of the work -- initially, the feasibility study for Keliber was, of course, based on mining all the way through to a final battery product. A lot of the work that we did in the second half of last year was around looking at these independent steps. So both the costs associated with them, the commercial liability associated with them and almost if you were to optimize, for example, just up to a spodumene concentrate what would that mean? What's come out of that work is essentially we are confident that we can look at this in different stages, that we can have an initial stage that in its own right is commercially viable. And of course, that gives us the option to remain at that point. But we are also aware of a lot of the work that's currently going on in the EU as well as Western economies generally things like Project Bolt, but also EU looking at sustainability and supply of critical minerals. And we think that this will have an impact on what the ultimate sort of pricing layout looks like in time to come. And that, of course, is a key aspect of how we look at the refinery and when and how we turn that on. So I'll let Ralph answer some of your more detailed questions. But I think just on a high level to note that, that was a lot of the work we have done and out of that, very confident that we can look at the project in different stages, each being commercially viable in their own rights. But Ralph, please feel free to add anything there.
Ralph Lombard: [indiscernible] So just to give you confidence, we always visit the spodumene grade even during the feasibility. And we're quite confident we can push a grade in the high limits of more than 5% based on those test work. Also, the concentrator is very traditional technologies. So obviously, we test the recovery versus spodumene grade. So we're quite confident, and we're also confident in Syvajarvi, which is our first pit. It's quite high grade with the lithium oxide percentage of close to 1.1% and even more at certain stages which will also assist us in getting that higher grade. So from a Keliber perspective, we don't see any new risks because we are pushing a higher spodumene grade initially. Thanks. I hope that answers your question.
James Wellsted: Thanks, Ralph. Second question is on impairment due to the longer-term lithium price forecast, stage start-up to preserve flexibility. Question is what long-term lithium price assumption underpins the revised recoverable amounts at Keliber and at what price level does the project fail to meet our hurdle rate?
Richard Stewart: Let me maybe pick up on the hurdle rate question. And Charl, if I could ask you then to pick up just on the prices that we used for our impairments. So I think in terms of hurdle rates, let's put it this way. I think what you see in terms of the total project as we've shared with you, we currently have an all-in sustaining cost of about $12,000 odd per tonne. That is if we go all the way through to a battery grade. So we've always said we would obviously like to see prices I guess, well in excess of that in order to meet our internal hurdle rates. So looking at a region of 14,000 to 15,000 is where we'd want to see it sustainably at least going forward on that basis. I think importantly, of course, what we are assessing as part of this is also the opportunity on the earlier stage concentrate. And of course, that then is driven by volume in concentrate prices. I think critically, the long-term opportunity of this project is about supplying battery grade into the European ecosystems. We never built this ready just to us what you mean concentrate into more broader Chinese supply chains. So I think that's the opportunity that we've really got to this particular project. But Charl, would you like to pick up on the long-term price for the payment models?
Charl Keyter: Thank you, Richard. So the average price that we've used over the life of the mine but obviously, I appreciate that the price falls up over the duration of the life of mine. The average price was just under USD 17,500 per tonne and that equates roughly to a long-term price of about USD 20,000 per tonne.
James Wellsted: In a further question on what the remaining book value for Keliber is?
Charl Keyter: Yes. So the remaining book value is ZAR 9 billion or just under EUR 460 million.
James Wellsted: And Richard, for you, what are the next steps in the battery metal strategy?
Richard Stewart: Thanks very much. I think as we shared at our Strategy Day, I think our long-term strategy as a company still remains to be able to supply metals that ultimately will support decarbonization and an energy transition. So that remains the long-term strategy. I think it's broader than perhaps just battery metals. But in the short term, our strategy is very much around optimizing the current portfolio. So as it stands today, we have our core operations of our South African gold, our South African PGMs, our U.S. PGMs, recycling and Keliber and that is where our focus will be and certainly our investment into our organic projects there. I think we will continue to assess the various projects, and that is where I did share with the market the growth framework that we've developed, which talks about the different metals we will look at in the jurisdictions we will consider. That will ultimately drive how we think about it. But as I say, our sort of immediate focus, our short-term strategy is very much on delivering from our core operations.
James Wellsted: Thank you, Richard. Thank you for this wonderful presentation, well done IR team. Thank you. Can one expect this level of financial performance going forward, should the commodity prices hold? Richard, you can take that or Charl.
Richard Stewart: Yes, happy to just take that more generally. I mean, I think as we mentioned on a high level, of course, I think the benefit of the prices that we saw coming through, gold, of course, we saw coming through throughout most of the year but the really big -- all of these prices ramped up towards the end of the year. PGMs really only started recovering in H2 with a significant ramp up in December. So of course, I think the type of financials that you've seen were based more on a back-ended portion of the year that delivered most of the value. But I think what we would look forward to prices remaining exactly the same. I think as I mentioned, we've had a noisy set of numbers and quite a few one-offs that we've had to deal with. So if anything under this environment, everything else the same, I would expect to see slightly improved financials with that noise out the window. But as Kleantha mentioned, the approach that we're adopting for the year ahead, I think we've got great tailwinds with the commodity prices. I think we see new bases being set, I think this market is being grown by a world that's scrambling to secure critical metal. So that's likely to remain. But it will be volatile. And certainly, that's the way we're positioning it and looking at our business for the year ahead.
James Wellsted: Given the record gold prices, to what extent are the reserve reductions at Kloof, structural geotechnical constraints versus price-sensitive. Would a sustained higher gold price justify re-extending the mine life?
Richard Stewart: James, let me take the first crack at that, and Rich, if you'd like to add anything. I mean I think critically, so of course, as has been noted, I think we do have slightly conservative prices that we use for reserves and the reason for that is we look to do our long-term mine planning and capital allocation based on what we still see as through cycle prices, ultimately, making capital decisions for really long durations. I do ever think Kloof is important to say that I don't think gold price was not a factor at all in terms of the decisions that we made. The decision to reduce Kloof was a safety decision, first and foremost. We did have some shafts that were coming to the end of their life. Anyway, that was part of the plan during the course of last year Kloof 7 shaft in particular, was planned to close. But then we lost volume due to safety and that decision, I think when we make a decision to stop mining areas because the safety, price is not a factor that gets considered in those decisions at all. So what we are looking at is Kloof for safety on operation that today is producing a lot less than it was obviously designed to. That means it's got a very high fixed cost base. And fundamentally, that means your unit cost goes up. According to the reserve price we use, i.e., through the cycle, we do not have long life reserves at Kloof, but we fully recognize that at these prices, Kloof remains profitable, and we can continue to mine it as long as the prices remain where they are. So we have put a year-to-year plan in place and we will continue to assess Kloof at those prices. And I think that brings significant benefits, as Rich mentioned, not only commercial and cash flow for the company but of course, also is a large employer. So we will keep Kloof going for as long as it is profitable and makes sense, but we won't be declaring or changing significantly the life of mine and reassessing capital at these numbers.
James Wellsted: I guess a related question, but can you give us a sense of your gold operations, excluding DRDGOLD environmental liabilities? And how much of this is funded through environmental trust that, so I guess that's rehab. I'm trying to get a sense of the longer-term cash flow impact, should there be further closures or rationalization?
Richard Stewart: Charl can I perhaps ask you to pick that up or Rich?
Richard Cox: Happy to pick that up. Thanks for the question. So we do have a liability over the gold operations of ZAR 5.4 billion and of the ZAR 5.4 billion, ZAR 4.7 billion is funded and the balance then is with guarantees.
Richard Stewart: Charl, anything you'd like to add to that or...
Charl Keyter: No, Rich full cover. Thank you.
James Wellsted: Thank you. Well, I've got a question for you, Charl, actually. So I'm going back onto you. How should we model the benefits of Section 45 ex credits in '26 and '27 in particular, and how this relates to cash flows. And then related to that is when are we expecting to receive the credits from 2023 and 2024's cash. And is the higher CapEx -- okay, that's a separate question. It's just a Section 45 ex.
Charl Keyter: Yes. So in terms of 45 ex, the '23 and '24 payment should -- sorry, the '23 and '24 credits, we are expecting that in 2026. And then thereafter, we expect it to flow in the year following the claim. So the '25 claim to flow at the back end of '26 and some early '26 towards the back end of '27, give or take a few months.
James Wellsted: Just on when do we expect in '23 and '24?
Charl Keyter: Yes. So '23 and '24 claims we expect in 2026 due to the large amounts, and this being fairly new. And those amounts are subject to examination as it's referred to in the U.S. or as we refer to an audit. But again, we are working closely with our tax advisers, and we are continuously following up.
James Wellsted: A question on the higher CapEx at SA PGMs in 2026. Due to some deferral spend in 2025, is it because of that? Or what other factors?
Richard Stewart: Thanks, James. So I'll ask Rich to pick that up. I don't think it's so much a deferral in 2025, but we do have an increase in SIB around some specific projects. But Rich, perhaps I can hand over to you, please to pick that up.
Richard Cox: Thanks, Rich. So there is a little bit of extra venture within our precious metal refinery as well as some trackless mining machinery. But largely year-on-year, it's the same except for those extra pickups in trackless mobile machinery and in the precious metal refinery.
James Wellsted: So the related question to that. I'm not sure if it is relevant. But is capital spent on ore reserve development what type of development is funded from this CapEx and what type of development have funded from working operating costs? And in terms of the Kopaneng deeps project, Will it be a similar layout in arrangement to Siphumelele mechanized section and which words shaft would be used to transport mainland materials?
Richard Stewart: Perhaps we'll ask Rich just to pick up on Kopaneng and Charl on the capital.
Charl Keyter: Okay. So in terms of ore reserve development, it is effectively underground development work that's undertaken to open up access and prepare the cave mineral reserves for mining in the future production periods. But I have to specify here that the amount that gets capitalized is specifically in the off-rig development to open up those ore blocks. The reef plane or on-reef development is expensed in the period that it's incurred. I hope that answers it.
James Wellsted: Position on the Kopaneng deeps layouts, et cetera.
Richard Cox: I'll take that, James. So Kopaneng is a concept study at the moment. It's a very attractive downdip extension. So the strike is over 5 kilometers. And that has been the challenge of how to gain access, so a very good question. So initially, we will gain access on one of the flanks through a down-dip extension of the Bambanani asset. And then Khomanani offers a very attractive into the ore body. However, Khomanani 2 shaft doesn't have a rock pass. So we have to look at other down dip extensions and then possibly even a down dip development of a decline from Khomanani as well. So man and material probably through Khomanani and Bambanani in initial phases. But I think in the long term, there are other more attractive options for bigger volumes. We will be doing a pre-feasibility study in 2026 to sharpen up those carryforward options.
James Wellsted: Question for Kleantha. How will the GFEX impact prices this year? Should there be physical delivery for May and June?
Kleantha Pillay: Thanks for that question. Look, I think essentially, we're going to see heightened metal flows into China at least up until settlement date. So we've got a good price underpin their for platinum. And I think we're also going to see East rates moving up a little bit as we get closer to that date. Once that settlement date is reached essentially, you're going to have a very nice cleverly made platinum stockpile in China. And I think post that, you will get some price correction. But yes, that is the nature of investment demand, unfortunately. So I think we will see some underpin, and then we'll see a bit of correction post that settlement date.
James Wellsted: Turning to the U.S. now. In the U.S. PGM operations, repositioning now for optimize, for currently -- sorry -- basically, the question is are we repositioning for current 2E PGM prices? Or is there further downside risk if prices soften?
Richard Stewart: Thanks, James. So I'll pick that up initially. I think as we have shared and as trials unpacked, our objective in the U.S. is ultimately to get our cost base down closer to $1,000 per ounce. And again, the reason for that target is that because that's where we see sort of through cycle I guess, being a low point, and therefore, that operation being able to wash its own face sustainably for significant option to the optionality to the upside in terms of palladium prices. So we -- I think in terms of have we positioned it for the current palladium prices, I think right now, our objective, we restructured that operation 2 or 3 years ago to position it for the downturn that we saw. And our focus right now is on achieving those cost levels. Once we've achieved those then we will be able to assess the operations going forward and understand what a new base could look like. As Charles mentioned, we do have the opportunity to relook at Stillwater West in time. But today, that's not currently part of the focus. The focus will be on East Boulder and Stillwater West, so largely in line with the current production levels.
James Wellsted: Thanks, Richard. Questions on streams and hedging. Could you give us an update on the streaming deals? I guess that the details of streaming deals and then unpack your hedging book for us, ounces per year and at what price.
Richard Stewart: Thanks, James. So let me maybe take the streaming question. And Charl, if you could then follow on with some of the hedge questions. So I think in terms of the stream, we fundamentally have 2 streams within the company at the moment. One is at the Stillwater operations. That stream largely considers a palladium stream of about 4.5% and most of the gold that comes out of that operation. So that -- and that is a sort of evergreen stream. I think it does step down at some point to 2.5%, but that's still quite a bit out. So that's the one stream that we've got in place. The second stream that we have in place is on the South African PGM operations. That stream again considers all of the gold that is produced from those operations, which is about 1% of the total metal. And then if I recall, it's about 2.5% on platinum, which also steps down and that is there for the life of the current mine that does not include any extensions beyond that. So the platinum is limited to the current life of mine.
Charl Keyter: Thanks, Rich. If we look at the gold hedges, so in December 2023, we entered into some hedging arrangements for our South African gold operations. These hedges were put in place to protect the downside, specifically around our legacy assets. They have -- all of the hedges have now been concluded at the end of December 2025. So there are no further gold hedges in place at the current moment.
James Wellsted: Thanks, Charl. Charl, probably one for you again. What are the plans with the convertible bond due 2028, given that it is now in the money from Lorenzo Parisi...
Charl Keyter: Yes. So we'll keep an eye on the convertible bond. It's got a 2028 maturity, but it's got a call option. So we can call it towards the end of the year. And we'll just monitor it carefully to see what we do in terms of the convertible bond. Based on current prices, it is in the conversion territory. But for now, the focus is on refinancing the 2026 $675 million bond, and we'll just carefully monitor the convertible bond going forward.
James Wellsted: The value of that convertible bond on the balance sheet...
Charl Keyter: That's $500 million.
James Wellsted: In terms of simplification, Richard, might we think about the Finnish and possibly the Australian assets being potentially available for sale?
Richard Stewart: Thanks very much. I think we've been sort of quite clear at the moment that the Keliber lithium project certainly forms part of our strategic priority assets. I think we see that as a very valuable asset. So I think the short answer to that is no. I think when we look at the Australian assets today, the new Century Zinc operations have been very successful. We remain very committed to those operations until the closure of those and then the completion of that particular project. In Australia, we have a couple of projects that are being assessed. We have the Mt Lyell project. I think as we mentioned, certainly, copper is a metal that we would be interested in if we could see value accretion in those opportunities. So Mt Lyell will currently be assessed, as Charl said, and understand whether or not that meets our hurdle rates and our overall capital investment criteria. And then we do have opportunities as well with the Phos 1 project to extend the New Century or to utilize the New Century infrastructure post mining of zinc. I think it would be a wonderful opportunity to see that infrastructure continue being used. Phosphate likely does not fit in with our sort of strategic focus going forward. So our priority would be to look at how we could maximize value, try and ensure the sustainability of that project going forward, but how we could get value from that unlikely to be a core investment thesis on the phosphate side from our side.
James Wellsted: Thanks, Richard. Just some questions on renewable energy. Can you remind us what is feeding into the operations currently, volume, solar versus wind? Listen, I don't think we can give that breakdown right now, but we'll be able to get it. we got it. Okay. And what's in the pipeline? And when will it start feeding in? And then secondly, Sibanye Stillwater is advancing well on the clean energy front. What is the overall renewables ambition and what are the targeted deadlines?
Richard Stewart: Thank you very much. Perhaps, Rob, if I could maybe ask you to pick up on some of those.
Robert van Niekerk: Yes, Richard. I can talk to the renewable energy. At the moment, we've got Castle wind farm as well as the solar project, the Springbok Solar project, providing electricity into our operations. The Castle wind farm was commissioned in March. The Springbok Solar project was commissioned in September. And to date, they've generated 293 gigawatt hours. In 2026, we're going to have another 2 plants coming into play. They are both wind farms. It is Umsinde wind farm and the Witberg farm. And then by the end of '26, we'll be receiving more than 400 megawatts on an annual basis. This will exceed 700 megawatts in '27 and '28. So [ Les ], I hope that answers your question on the renewable energy.
James Wellsted: Thanks, Rob. That's pretty comprehensive. Did you give the overall target. Sorry, I wasn't clear on that.
Robert van Niekerk: Overall target is slightly about 700 megawatts, James. By the end of '28.
James Wellsted: That's as big as the Castle unit. I think Melanie mentioned that. Pretty interesting. Let's get on to some of the SA PGM questions. What are the key drivers of the lower SA PGM volumes and the much higher costs?
Richard Stewart: Thank you very much. Let me take that one. So I think the slight reduction in volume, our underground operations are, in fact, largely stable year-on-year. So we aren't seeing significant change there. Much of that downgrade of about 100,000 ounces comes from a combination of surface as well as some lower third-party assumptions on lower third-party [ pop Kloof ] processing material. So that's a predominant driver down. I think in terms of the costs, the operating cost base, I think, is actually pretty stable. We're seeing that coming in, in line with or, in fact, below inflation. The big increase is largely around, I think, as we mentioned a bit earlier, the sustaining capital, in particular, which is being driven by the new projects in our refinery, specifically our OPMs or other precious metals plants in our precious metals refinery as well as some upgrades to mechanized equipment. That's a really big driver on the cost side.
James Wellsted: A question from Nkateko about production guidance being lower and then also a reduction. Is it the reduction related to third-party volume of own metal. I think Richard just answered that there's quite a big decline in the surface. And then we have got lower third-party metal. So I think that's pretty much been covered. A question on the Appian settlement, how it's been accounted for in the cash flow statement, Charl?
Charl Keyter: Yes. Thank you. So the Appian settlement is in the cash flow from operating activities. So the number has been effectively paid or deducted in that number. So if you want to normalize cash flow from operating activities, excluding Appian, you have to add that back for the year 2025.
James Wellsted: The cash flow table that we've got in the book, that would be under corporate audit.
Charl Keyter: Correct.
James Wellsted: Okay. Thank you. Question on uranium assets. When will there be a value unlock, Richard?
Richard Stewart: Yes. Thanks very much. I mean I think we've got the 2 uranium sort of assets at the moment. The one is the old Beatrix 4 shaft or Beisa as it's known. That is an asset where we are still in the process of a transaction with a junior company, Neo Metals, who is looking to develop that asset, and we retain an equity exposure to it. That transaction is still in process. Unfortunately, still tied up with regulatory conditions and licensing that we're looking at there. But once that is closed, I think then we'll start seeing the opportunity to develop and get exposure to that project. The second big one is the Cooke Tailings project. That is the Cooke Tailings dam that is both a co-product gold and uranium opportunity. We have recently or in the process now of completing the feasibility study on that. It's going through assurance that will also be reviewed in the second quarter of this year towards a financial decision or looking at various ways that could potentially be taken forward. So that would be the second one. And again, during the next quarter, we would come up with a decision on how to move forward on that. So those are our 2 current exposures to uranium.
James Wellsted: Thank you. I guess sticking on the growth theme, what accretive investment opportunities do we see in South Africa amid the strong gold and platinum group metal price environment and with Burnstone update. And then some questions on collaboration or other with DRDGOLD.
Richard Stewart: Yes. Thanks very much. I think as mentioned, right now, our focus in terms of opportunities on our current resources. That's where we see best returns. I think any M&A in the gold space at this point in time is probably, I would suggest high risk depending on how you're looking at doing that, but given where the commodity cycle is, so that's not one we're looking at immediately. And again, on the PGM side, I think we've said we're very happy with our portfolio as we look forward to the commodity markets of PGMs and how we see that playing out. And we think we've got some of the best brownfield opportunities to develop. So that's where we see our best value coming through. In terms of further collaboration with DRDGOLD, been quite open in that regard. I think it's been an excellent collaboration. I think we've seen real value created for both companies. And certainly, as we look forward to the future, we are building -- continue to build a significant secondary mining business. We are doing a lot of surface mining and projects on our PGM side. We still have some gold opportunities in South Africa, and we'd like to see that business growing. So moving forward, I think we'd certainly be keen on more collaboration with DRDGOLD and see that as a long-term partnership and future with the company.
James Wellsted: Yes. Just another angle on the DRDGOLD side. I guess from a gold bull or a gold bear's perspective, it's obviously worth about ZAR 25 billion now of 50% -- are we looking to dispose of the stake in time and what would trigger a sale? Or are we looking to buy -- increase our position in DRDGOLD in juice?
Richard Stewart: We're definitely not looking for a sale, as I mentioned. I think that's -- we see a long-term opportunity to continue to grow with DRD and add a lot more value between our resources, their skills and the ability to grow together. So no, we're not looking to sell. I think in the long term, we would love to increase our stake in DRDGOLD but again, clearly now is not the time for that. I think we have different opportunities to invest capital now. But down the road, if that opportunity is right and we can do it in a value-accretive manner, certainly something we would consider.
James Wellsted: And then I guess -- yes, another growth question, I guess, on copper for Sibanye, more copper exposure or not?
Richard Stewart: Yes. I think as we shared in our framework that we'll use to assess external growth opportunities, copper was definitely a metal that I think we would like exposure to. But I think the critical question is less around what we want exposure to or not. The real question when we look at any form of growth is going to be, is it value accretive? So yes, copper is a metal we would look at. But if we're going to do it, it would have to be done in a value-accretive manner. And I dare say, where could we -- where do we see our strengths and opportunities? I think there are some niche opportunities, where we could really create value from copper, and we will continue to look at those. But that will be the underlying driver is it value accretive and where do we think we can unlock value.
James Wellsted: Thanks, Richard. And then a question on our chrome strategy, I guess, production and revenues. Does chrome now play a negligible role given the rise in PGM prices? Not. And I guess maybe just touch on the deal with Glencore.
Richard Stewart: Thanks very much. No, Chrome is definitely not negligible to us. I think it's clearly a byproduct in that regard, but it's a very important byproduct for us, one we've given a lot of attention to over the last 5 years and continue to look at going forward. So of course, in different commodity cycles, the relative impact of chrome is important. I think we've seen over the years how chrome has gone from being about 2% of our revenue basket almost as high as 15% during downtimes. At the moment, it's probably sitting around 10% to 12%. So it's still a very material number. And of course, even though it's relative to PGMs, that number in our earnings and bottom line is material. So we will continue to focus on all value opportunities and chrome is certainly a very important one. I think critically, the transaction that we did with Glencore, what that really looked around, I guess, was 3 big opportunities. The first one was at our Marikana operations. Historically, that chrome was sold to Glencore under, I guess, onerous terms for us. And that prohibited the potential expansion of some of those resources. And I think in recognition with Glencore by opening up those resources, we can all benefit. And that was the first opportunity from that transaction. So that really unlocked some of the value from the new projects that we have announced as part of our strategy. I think the second benefit was by looking at our chrome operations across the board at Rustenburg and Marikana. We think there's some real synergies that can be derived there. And then we have substantial chrome in surface tailings, which, again, I think with our combined skills, we've got an opportunity to unlock that. So no, not at all. I think we will be -- we are already, I think, if I'm not mistaken, the third biggest chrome producer. And I think with this going forward, we'll be a substantial chrome producer. So that's absolutely part of the strategy going forward.
James Wellsted: And just first estimate for gold from Burnstone.
Richard Stewart: I think perhaps before then, I need to say our first step is really to get an investment decision from our Board. So that we would be going to in quarter 2 or towards the end of the first half. So let me just make that clear. We do still need to go through that process. I think first gold from Burnstone would come relatively quickly. But I think the thing with Burnstone is it is a long ramp-up period. So while you access the ore body quite quickly and can get first gold quite quickly, it's about a 4- to 5-year period before you reach steady state of about 120,000 to 130,000 ounces. So that's sort of what that profile looks like. But again, we'll unpack that in more detail at our Capital Markets Day sharing those profiles with you.
James Wellsted: Thanks, Richard. There are a couple here that I'll just answer myself, I think, before we go to the call. Any further payments due for this Appian settlement? No. they're done. A question on surface sources and projected life for Rustenburg PGM surface tailings. Again, that's been subject to a study, and we'll come to the market with all of the detail later this year when we have our Capital Markets Day. So if you can hold on for that, we'll be able to give you all that sort of detail. And then a question from Steve Shepherd about development assay results are no longer included in the disclosure. One wonders how analysts are able to forecast future head grades and yields without this crucial information. We'll speak about that offline, Steve, I have my opinions. Can we go to the call, please?
Operator: We have a question from Chris Nicholson of RMB Morgan Stanley.
Christopher Nicholson: I've got a number of different questions, believe it or not, after all the ones you've been on the webcast. I'll just limit it to a couple. Just the first one, just on Burnstone, are you in a position where you could guide on what CapEx for that project should be? It looks like your group CapEx this year is ZAR 17 billion roughly. So I'm just kind of adding what we should add on top of that to get the 120,000 ounces. Otherwise, we can't really credit you with those yet. Second question is just on costs. I think you've done a good -- I think to understand what's happening in the gold and SA PGMs. But just in U.S. PGMs, I see CapEx is up. But even if you strip that out, it does look like the underlying unit cost is up. Is this just a case of a bit of catch-up in forward development? What's driving that? Clearly, you still want to move down towards $1,000 long-term target, but it's going up in the short term. And then final one, I think you've lost over it a bit, but just on Keliber, that extra EUR 100 million over and above the project CapEx this year, that just seems strange given the project is now finished. What actually is that? Is this a working capital build? Or is there a working capital build in addition to that? And if it is, can you actually capitalize all those ore stockpiles?
Richard Stewart: Chris, thanks very much. Good to hear from you. Let me -- I'll take the Burnstone and the Keliber question and then ask Charl, if he can pick up on the U.S. cost in particular. So Chris, just on Burnstone, we haven't actually released a full capital number. So as soon as we've got that feasibility done, we'll do that. But what I can share with you is that the large project capital at Burnstone has already been spent. So when we turn that project off, the underground infrastructure is developed, most of the surface infrastructure is developed. The plant is largely done. So the capital that will really be required on Burnstone is essentially opening up that ore body. So it's development capital predominantly. So what we're really looking at is the cost from going from start-up to steady state. For those who are familiar, it's a Kimberly ore body, which means there's a lot of development required if you really want to set that mine up for the long term, and that's our intention. So it's not a big slug of capital that will come through. It's essentially opening up and development capital. So if you were going to think of a mine ramping up its ORD style capital that will be capitalized preproduction. So it's not big project CapEx, Chris, but we'll certainly look to give you the profiles on that as those studies are completed and made public. I think on Keliber, so let me just unpack that and so we can be absolutely clear on those numbers. So we always said -- or the project CapEx for Keliber was EUR 763 million. That number has not changed. The last portion of that number, i.e., the EUR 90 million that I quoted gets spent in 2026. So -- and that gets spent during the first quarter of -- first quarter and a little bit into the second quarter. So the total project capital remains at $763 million. It hasn't changed, and the last $90 million is being spent in Q1 and Q2 of this year. The balance to get us to the $180 million, so the balance, let's call it, of $90 million, that is effectively preproduction costs as we start up. A large amount of that will likely be capitalized as preproduction, but it's preproduction and sustaining capital type costs, Chris. So the project capital remains as is. We're just spending the last $90 million now, but it is part of that original $763 million and then the other $90 million preproduction. I hope that clarified it for you, Chris. Charl, do you want to pick up on the U.S.?
Charl Keyter: I does, I does.
Richard Stewart: Super thanks, Chris.
Charl Keyter: Chris, on development, we do have quite an expanded development set of activities, particularly at East Boulder. We also have some incremental capital. So we're replacing the bridge at Stillwater East that runs between the East mine and the concentrator and mill. And that was capital we deferred in the last couple of years. We're now getting into it. And then we do have some mechanized bolters starting to come in. So there is that capital. And then we also have the initial spend on rock dump and tailings expansion at East Boulder as well. So all in, you've got -- you do have a sustaining cost number that is higher than you're probably expecting. But I think the underlying run rates that you're getting from the operators is what you can see going forward. And as I outlined in the presentation, you do have a mixed year of activity here. We've got steady-state performance and then we've got a big shift into the transformative work where you really start to see the benefits on a cost basis and a productivity basis probably at the tail end of the year and into next year. So those will start to be daylighted at Stillwater East late in the year, but they will only get into East Boulder next year.
James Wellsted: Is there another question on the line...
Christopher Nicholson: Can I just ask is $130 million a good stay in business CapEx level then for kind of 300,000 ounces at Stillwater. Is that what we should assume going forward?
Richard Stewart: Chris, is that -- you're talking on the U.S. operations?
Christopher Nicholson: On the U.S. operations, yes.
Richard Stewart: Yes. That's correct, Chris, broadly in line with the guidance that we put out. That's right, yes.
James Wellsted: We like you. We'll give you another go. Operator, is there another question?
Operator: Yes, we have a question from Adrian Hammond of SBG Securities.
Adrian Hammond: Just a question on your recycling guidance. I know you've now consolidated the ops. But if on my calculations, then Columbus volumes have materially decreased. Could you just unpack that for me? And then for another one on Kloof for Charl perhaps, just the closure liabilities, do they cover the pumping costs that you foresee there? I'm just thinking about the aquifers that Kloof sits on. I know you incur about ZAR 1 billion a year for Cooke pumping. Does the liability you've mentioned cover the pumping that's envisaged for Kloof?
Richard Stewart: Adrian, good to hear from you. Listen, I'm going to ask Grant, I think he is on the line, just to pick up your question on the recycling breakdown. I don't believe there's been a significant drop-off at the Columbus facility, but let me ask Grant just to unpack that. Just in terms of Kloof, I'll ask Charl if he does want to come in with any numbers. But just high level, Adrian, I think where Kloof is very different to the Cooke operations. So that's ZAR 1 billion you just quoted now, which is the pumping across Cooke 1 to 4. That's very interconnected with other operations. So on the northern side, we have the Harmony shaft. And on the southern side, we obviously got South Deep. And that is why a lot of that pumping has had to remain while we develop stable systems to be able to ensure seal from the surrounding operations as part of a connected basin. Both Kloof and Beatrix are stand-alone operations in that regard. So when Kloof ultimately comes to closure, it's not interconnected to any other operating mines. So essentially, that can be flooded in line with our environmental permits. So the pumping issues and liabilities that we have previously experienced at the Cooke shaft are not applicable to either Kloof or Beatrix. It would, in time, become applicable to Driefontein. And I think that's where there's obviously an important conversation around extending life of mines around Driefontein and what that future liability may look like. So that is one where that's got to be looked at down the line in the future. Driefontein still got 10 years ahead of it. But for Kloof and Beatrix, that's not a problem on the liability. Charl, I don't know, if you want to just add any numbers to that, and then we can -- I don't...
Charl Keyter: No. Yes, we would not provide for pumping or any liabilities because as you've explained, it's -- we have the ability to flood and it's not similar to the Cooke scenario. So no, well covered. Thank you.
Richard Stewart: And then Grant, if you are online, do you just want to pick up on the recycling question of Adrian?
Grant Stuart: Yes, sure, Richard. online. Adrian, good to chat. Yes, there hasn't actually been much of a decline on the ounces profile delivered by Columbus. If you look on '24 and '25, it was a 2%, I think, decline. I think there is a significant shift though in the market. So there is going to be a lot of different industry play coming out and strategic moves and shifts that will have to take place. And I guess we'll unpack that for you during the April '20 discussion, where we outlined some of our broader recycling strategy.
James Wellsted: Thank you. Operator, are there any calls on the line still? -- delay. Thanks a lot. I think that's it really. only one more question. There's always one from Arnold Van Graan about share buybacks mixed. Richard, how do you feel about that?
Richard Stewart: Arnold, that's a great way to end this, and thank you very much. Good to hear from you this morning. No, listen, I think as we shared in our Strategy Day, the capital allocation model we're looking at, at the moment is very focused on the 3 pillars. So we've got our dividend policy that largely talks to about 1/3 of distributable free cash flow going to shareholders, 1/3 going to paying down our gross debt, which I dare say should reflect in our overall share price as we get that down. And therefore, hopefully, we would see shareholders benefiting from that capital uplift and then towards growth. I think until such time as we've got our debt in line, for now, we will be sticking to that dividend policy, and we wouldn't be considering any extra. Of course, if commodity prices stay where they are, and we've achieved those objectives on the gross debt side, then we'd have to look at where that policy or the capital allocation strategy lies. But for now, we'll be sticking to our dividend policy, Arnold. Thank you very much. I guess, is that the last question then? If that's the last question, then perhaps just from my side, thank you very much, everybody, for joining us again. As mentioned, this is just one in a series of engagements we're looking to have with the market. I think we can tell that there are still a lot of questions and a lot of details we need to share around some of the projects in particular that we've got, and we certainly look forward to unpacking that with you during April and June of this year. So thank you very much for joining us again. Please have a good and a safe day. Thank you.